Operator: Good morning or good afternoon. Welcome to Swiss Re Annual Results 2024 Conference Call. Please note, today's conference call is being recorded. At this time, I would like to turn the conference over to Andreas Berger, Group CEO. Please go ahead.
Andreas Berger: Thank you very much, and good morning or good afternoon to you all depending on where you're sitting. I appreciate you taking the time to join us today. And before I will hand over to Group CFO, John Dacey, who walks you through the details of our 2024 full year results. I'd like to start with some brief remarks and observations. 2024 has been a very important year, an important year for Swiss Re and its employees. Our results for the year show that we are on right track. On the back of a solid fourth quarter, we've delivered a net income of US$3.2 billion and a return on equity of 15%. We achieved our goal positioning P&C reserves at the higher end of our best estimate range. This was enabled by the decisive actions we took in the third quarter last year. As a reminder, we added US$2.4 billion on a nominal basis to U.S. liability reserves in the third quarter and US$3.1 billion throughout 2024, positioning our overall P&C reserves at the 90th percentile of our best estimate range. We're pleased to have addressed the prior year drag on earnings as a lot of you have told us also before. We already benefited from our strengthened position in the fourth quarter where P&C Re's results included approximately US$100 million from net reserve releases on a nominal basis. That's a good sign, although we will continue to guide to a neutral reserving result in 2025 and ultimately, then let future results speak for themselves. With P&C Re's in-force book now in a much better place, we're also pleased by the new business generation at the January renewals. We achieved volume growth of 7% driven by increases in property and specialty lines, partially offset by our continued cautious stand in casualty. We locked in positive nominal price increases of around 3%, precisely 2.8%, most pronounced in casualty lines, while cautiously increasing our loss pick by 4.2%. Approximately 70% of these loss updates reflect a prudent view on inflation, particularly in casualty, while the remaining 30% represent adjustments based on updated model views. When taking into account yield levels, that means the discounting effect, the economic margin achieved at the recent renewals is broadly in line with last year's. With the January renewals, we have locked in about 50%. I think it's exactly 53% of our P&C Re treaty book. Now to Corporate Solutions. Corporate Solutions had another very strong year, outperforming its combined ratio target of less than 93% by achieving a 89.7% combined ratio. I think it's the 18th consecutive quarter of consensus beat, so very good results. So we do not take Corporate Solutions consistent with us delivery for granted, and we'll continue to focus on delivering to our customers, brokers, have underwriting discipline and also top-notch claims management in place. That's what we're all about and thinking about. Now let me turn to Life & Health Re. First of all, we're happy that we delivered on our 2024, US$1.5 billion net income target despite the negative impact on assumption strengthening we undertook onerous business. That was during the year and some negative experiences mostly related to smaller portfolios. I'm sure we're going to come to that in a moment. As a result of this noise during 2024 similar to P&C Re, we decided to more forcefully address pockets of volatility in the in-force book. We completed this in the fourth quarter, broadly in line with what we estimated at our management dialogue event in December last year. The assumptions update have resulted in a 6% reduction of Life & Health Re's CSM balance. It's important to note here that these updates were anticipated during our 2025 target setting process. So it should increase the resilience of Life & Health Re's results going forward. That completes my summary of the 2024 financial year. But overall, I'm really satisfied with the progress made and the underlying earnings power of the company. The latter allows us to propose a dividend increase of 8% to the upcoming AGM, delivering against our stated objective of growing the dividend over the next three years by at least 7% per year. Now to 2025. The priorities are clear, delivering a net income of more than US$4.4 billion. Across our organization, we continue to make progress in becoming a leaner, faster and more effective firm. These efforts are expected to result in a US$300 million reduction in our operating cost run rate by 2027, and thanks to all the assets made in 2024, we anticipate achieving a US$100 million reduction already this year. 2025 has started with a major catastrophe in the form of the devastating LA wildfires. Just want to extend our heartfelt sympathies to everyone affected by this event that will require the efforts of many, including insurance, reinsurance companies and all service providers in the ecosystem to support here. In our case, our preliminary estimate currently foresees a loss of less than US$700 million based on an industry market loss of approximately US$40 billion. Above all, this is part of the business we're in. That's what we're here for, and we are here to assist affected communities in their recovery and rebuilding efforts. Now in closing, I'd like to thank our employees for their dedication and hard work, our clients and partners for their trust and also our shareholders for their continued support, which was demonstrable effort and evidence in also the share price development. Together, we are on the journey to close the gap to number one. We made great progress, a lot of sprint. It's a marathon. And in closing, I would like to take a little moment to also express my sincere gratitude to John Dacey, our Group CFO. He's been CFO for the last seven years. and part of the Group Executive Committee for more than 12 years. John's dedication and strategic vision, tireless efforts, and I would say I love his humor. This has left a lasting impact on our organization. We'll will miss you, John, in particular, when you step down at the end of next month, your leadership specifically was pivotal in guiding us through the challenging transition to IFRS. Everybody who went through this transition will know what I'm talking about. And thank you for that. And as moments, definitely we'll celebrate, John. So over to you with more detail. Thank you.
John Dacey: Thank you, Andreas, and good afternoon or good morning to everyone else on the call. A few remarks, and I'll try not to be redundant to Andreas' introduction, but I think we can -- it's worthwhile setting the stage in a couple of positions. So again, the net income of the group of $3.2 billion for 2024, a 15% return on equity, $1.1 billion in the fourth quarter. We've did a nice recovery, I think, from the third quarter when we did take the reserving charge, it forced us to miss the target we set at the beginning of the year of $3.6 billion of net income, but we came close. And I think it shows the underlying strength of all the businesses, including P&C Re. For the same reason, P&C Re missed its target of less than 87% combined ratio with the full year combined ratio as reported of 89.9%. The reserving actions in the third quarter accounted for approximately 10 percentage point reduction. So not too hard to do the math of where we might have landed otherwise. In 2024, P&C Re reported actual large nat cat losses of $1 billion, significantly below the budgeted $2 billion expectation. This was helped by some good luck. But as important, if not more importantly, underscores the disciplined underwriting approach, especially with respect to secondary payrolls. In the fourth quarter, specifically, large losses related to natural catastrophes amounted to only $185 million for P&C Re, where approximately $150 million was attributable to Hurricane Milton. This compared to a budget in the quarter of $500 million. Corporate Solutions as Andreas described, delivered another outstanding performance for 2024. The full year combined ratio of 89.7%, outperforming the target of below 93%, and the strong underwriting and stringent portfolios continuing to evidence themselves. Life & Health Re, as Andreas said, a little more complicated story, but delivered its net income target of US$1.5 billion. The result reflected the strong recurring investment result and the CSM release, given the large in-force book. These elements allowed us to offset the negative experience variance of around $800 million where more than $500 million was a result of assumption updates that we did on onerous blocks of business throughout the year. As we flagged in December in London, during the fourth quarter, we accelerated our regular assumption reviews on those portfolios where we saw experience deviating from expectations. Those updates were across lines and geographies, including on EMEA health businesses. We also reassessed portfolios that were performing broadly in line with expectations, like the mortality book in North America. We took the opportunity to add some caution in the assumptions, and this has resulted in the reduction of the CSM balance by about $1.1 billion in the quarter, $1.3 billion for the full year. In addition, the U.S. dollar strengthening in the fourth quarter further impacted the CSM. And for the full year, the impact of this was about US$600 million. These updates are fully reflected in the 2025 net income target that we put out of $1.6 billion for Life & Health segment. The return on investments rose materially from 3.2% in 2023 to 4.0% in 2024, driven by a substantial increase in the recurring income, which grew by approximately $500 million compared to the previous years. Our reinvestment yield remained strong in the fourth quarter, reaching 4.6%. However, the impact of the recurring income yield was muted primarily due to the maturity of some higher-yielding investments during the same period. Finally, the capital position remains strong with a group SST ratio of 257% as of the 1st of January of this year, above the target range of 200% to 250%. The decrease versus the midyear group SST ratio of 284% is largely a result of the reserving actions we took in Life and Health Re and to a small degree, P&C Re. The accrual of the dividend, modest increases in deployed risk capital and some other impacts, including unfortunately, the foreign exchange impact, which also affects the calculation of the SST. As Andreas mentioned, we are confident that all the businesses are well positioned for 2025. And accordingly, we've reaffirmed today the financial targets that we originally announced in December. The group continues to aim for net income of $4.4 billion. Again, it sounds redundant, but I think it's useful for you to hear it from every dimension of the business, also after taking the expected impact from the LA wildfires into account. And last, maybe on my personal note, Andreas, thanks for the kind words. It's been a privilege to work at Swiss Re, and alongside the dedicated colleagues inside this great company. I'm confident the company is in excellent hands with my successor, Anders Malmström, and I look forward to seeing it continue to thrive. With that, I'll hand over to Thomas to manage the Q&A, which I'm guessing will be a few.
Thomas Bohun: Thank you, John. Thank you, Andreas, and hi to all of you from my side as well. As usual, before we start, if I could just remind you to limit yourself to two questions. And should we have follow-up questions, please rejoin the queue. With that, operator, could we have the first question, please?
Operator: The first question comes from Kamran Hossain from JPMorgan. Please go ahead.
Kamran Hossain: Good afternoon, everyone. Just wanted to start as well with John, I've known you for some time in various roles across Swiss Re, I'd just like to kind of echo the thanks from our side. It's definitely probably not been the easiest ride in the last few years. Since 2019, and you've dealt with kind of all of our difficult questions, challenges and kind of analysts peculiarities with growth. So thank you for that. We'll definitely miss our interactions the most. And I think it's -- pleased that you're leaving the business on a high point too. So, thanks again. Two questions from me. The first one is just on the, I guess, on the target for 2025. When we sat there in London at the IR Day in mid-December, you could see there was supreme confidence on the stage from every member of the management that the $4.4 billion is a number that's got buffers built in that, you're certain you will achieve it, there is a really high degree of confidence. Did the LA wildfires to any extent, shaped your confidence in delivering that $4.4 billion plus 30% is kind of 1/3 of the cat budget for the year. So just interested in kind of whether that changes your confidence in achieving things or not? Or you're still kind of have that rock solid kind of belief that you can hit that? And the second question is just around the cat budget. I think, John, you alluded to this, that you've done a lot of work to avoid things like secondary perils in the business. And if I look at the experience of yourself on the cat budget this year, it's well below what you thought it was going to be at the beginning of the year, and other peers have maybe not been so lucky. So just is there anything that you can see that's been a major driver there? Or is it simply just secondary perils and just stepping back from some things that you just realized you shouldn't be covering?
John Dacey: Thanks, Kamran, for the kind words, but also questions. I was hoping you were coming with softballs, but I guess it doesn't quite come through. On your first question, we remain very confident on these full year targets. Yes, the less than $700 million, if it were to be $699 million would be the 35% of our full year budget and that would be unusual in the first quarter. But this is never going to be a linear development during the course of the year. And one -- so there's no reason necessarily to expect that we're going to exhaust on nat cat budget. But we also think that this will be supportive to pricing as we go through the renewals in April and June and July. We were pleased by the pricing we achieved at the January 1 renewals already. That was probably a little better than what we might have expected in December. The market remains disciplined, and we remain disciplined, not moving down into layers of the towers, which we're uncomfortable with in terms of the frequency, which they'd be hit. And so I think one of the things you saw with our numbers for the LA fires was that's consistent with our desire to stay on as a reinsurer of the tail risks of these events, not in the belly of them. And as we go through this, I think we'll see where pricing is on the renewals during the rest of the year. We'll evaluate our appetite, but we certainly have the capital to deploy, should we choose to deploy during the course of the year. So I think the cat budget at the moment, we think $2 billion is not very different than what we might have anticipated. And that will be a dynamic number, which will reflect what opportunities we see especially in June and July. But the discipline is there. There have been some people that probably were surprised by the size of losses and they'll probably be rethinking their own appetite and/or the pricing that's required as they go forward, and I think that's good for the market.
Thomas Bohun: Thank you, Kamran. Could we have the next question please?
Operator: The next question comes from Andrew Baker from Goldman Sachs. Please go ahead.
Andrew Baker: Great. Thank you for taking my questions. The first one, just on the Q4 specific Life and Health Re insurance service results. Are you able to give a bit more color on what books contributed to the negative experience variances and whether this was primarily the EMEA health, smaller Asia portfolios where you've now rebased your assumptions? Or are there any other portfolios where you're seeing the negative experience variances coming through the ISR? And then secondly, on the California wildfire loss estimate, are you able to just give a bit more color on your sort of process to come up with that number. Was that done bottom up? Or is that top-down based on your market share? And then also, are you able to provide any split between P&C Re and Corporate Solutions if that's appropriate? Thank you.
John Dacey: Sure. So the experience adjustments in Life & Health, actually, there's a list of about a dozen geographies, none of which are dramatic, obviously. But comprehensively, they add to about $300 million of the change. They're literally around the world, where we saw the bigger impact on this total of $800 million was coming out of changes and losses on onerous contracts. And that was more EMEA focused where of the $500 million, about $330 million comes from a multiple of European markets, some a little more obscure, some where some other people saw some losses as well. So I don't think there's a lot of surprise, we try to be comprehensive in addressing all the places where the analysis probably had not been as recent or as deep or where we saw some specific behaviors that warranted another good look. And that's why this came through and into the P&L for the year. That's separate from the CSM adjustments, which again were a series of further assumptions there, just to be clear. And I think Philip Long might have flagged it during the summer meetings. We did take another look at U.S. mortality where we saw, even though it behaved pretty well through the first three months -- three quarters of the year, in the last quarter, there was some additional losses coming through, and we've reinforced the endemic loads that we put on in the previous year related to the pandemic to extend them further and position the company well into '25, '26, '27. So I think that combination has us feeling much better about the starting point on January 1. On the California wildfires, the one important note, I think, and again, we're reporting maybe a week or two later this year than normally for the full year is we have been able to get a lot more information from our primary clients about their losses. So while this is a terrible tragedy, the fact that it happened, most of the losses were between the 7th and 9th of January, that by the end of the month, the fires had all been extinguished. The rains fortunately finally came here at the beginning of February. Loss adjusters have been able to come in and be very clear about the damage and unfortunately, in many, many cases, we estimated 16,000 structures completely destroyed, the total losses. And so the analysis probably wasn't as complicated as it might otherwise have been. In addition to those direct losses of insured homes, there was some additional damage that had to be estimated for smoke and ash of structures that were intact, but either in the middle of the fires or nearby. We've tried to include that. One complication, especially out of the Palisades where quite a few of the homes were higher net worth buildings was that the contents were either on an extended policy or maybe a separate marine policy for fine arts and other valuables that all had to be included up into it. We had to think through the auto losses. And again, 16,000 structures probably means 16,000 garages. Some of those garages have multiple cars, people drove away in one and left the rest. And so you keep working through this until you add all the different pieces up. The one thing which the -- our number includes is the retro recoveries that we would expect in this size of loss. We think generally of the $40 billion, about 1/3 of this will be coming to the reinsurance market, and multiple carriers, including, frankly, ourselves, are likely to offload some of the gross loss on to the retro programs that have been put in place by ourselves and other reinsurers. So you'll see that. The reinstatement premiums are also part of the storyline here where those primary companies whose treaty allows them to reinstate the cover for a fee, we've already calculated what those fees will be and on the discussions with the primary companies largely agreed. Nobody wants to go 10 months naked on their excess of loss treaties in particular. The only thing we've not included in this is the potential for subrogation. It's been hypothesized, and I'll use that word, that the Eaton Fire may have some subrogation possibilities. We won't -- we haven't estimated what those could be. I think it's going to take a lot more actions and evidence findings to be confident that there might be something there. And if there is something there, how much recoveries might be in place. So that's the overall part of it. The overall message, I guess, I'm delivering is we're confident that the number will not creep up above what we're saying here with everything we know. We'll get a precise number in place as we close the first quarter, and Andreas will report that as part of our first quarter results.
Thomas Bohun: Thank you, Andrew. Could we have the next question please?
Operator: The next question comes from Ivan Bokhmat from Barclays. Please go ahead.
Ivan Bokhmat: Hi. Good afternoon. Thank you very much. I'd also like to thank John for the interactions over the past, almost a decade. So questions I have is the first one would be on the capital generation and maybe the change in the SST ratio has clearly been a little more pronounced than the IFRS impact. I'm just thinking into 2025, as we think about how this ratio would go, is there any reason to expect that the capital generation will differ from what the $4.4 billion earnings target assumes, which would be roughly an equivalent of mid- to high 20s point of improvement in the ratio. That's question one. And question two, just looking at the renewals, there doesn't seem to be quite substantial growth in property. I was just wondering if you can talk about that? And how does that mix change affect any of your profitability outlook? Also a little bit surprising to see that casualty wasn't down more. So any comments on renewals would be very welcome.
John Dacey: Sure. Ivan, in the first case, you're back of the envelope math and with respect to earnings vis-a-vis the SST, I can confirm ceteris paribus, we would expect us to be able to grow this. We'll, again, have to accrue a potential dividend, but net-net, we think there should be positive momentum to the SST ratio given the strength of the business that we expect. On the second on the renewals, a couple of thoughts. Casualty, it says minus 1 and it's still a big number in terms of absolute amounts. But that's a global casualty book and not just the U.S. and not just U.S. liability. What I can say is we were able to get double-digit price increases for the nonproportional casualty that we renewed on January 1 and a strong, probably single-digit amount for the proportional casualty that we renewed at the same period. And so that minus 1 already reflects these price improvements. So the actual risk that we've maintained is materially below where we started from. So a continued reduction of exposure partly driven by the price improvements that we were able to get in these renewals. So that's the first case. The second, you mentioned the spike in property. There was at least one significant client treaty that helped flatter that, there would have been strong growth in any case. But I think there's not a lot that would change our view on the achievability of the targets for P&C Re's combined ratio. This, again, we think is a strong renewal. We did not make big trade-offs, certainly not in terms and conditions, and not very much at all also in the layers of the towers where we are comfortable operating. So I think we like our exposure. We think the pricing is adequate. We, as I mentioned, expect as a result of the California wildfires that any downward momentum in property and cat prices will be mitigated materially as the renewals heat up for the rest of the year. Hope that helps.
Thomas Bohun: Thank you, Ivan. Could we have the next question please?
Operator: The next question comes from Iain Pearce from Exane BNP Paribas. Please go ahead.
Iain Pearce: Hi. And just to reiterate the comments, thanks for your help over the years, John, you've been a great asset and a great help to on the sell side. Just two, hopefully, quite quick ones. The first one, if you could just provide some detail on the comments around the renewals of the negative impact from risk-adjusted pricing been offset by discounts. Can you just put some numbers around that on the combined ratio that would be very useful. And then the second one, if you could just provide a little bit more color on any of the learnings you had from the review that was conducted in Life and Health Re, particularly around sort of adjustments have been made to expectations by line of business. You mentioned some stuff in U.S. mortality. Any more color there would be really useful. Thank you.
John Dacey: Yes. On the first one, I think we're talking to something less than a percentage point. So it's not a big deal. What I would say is that loss adjustment is -- Andreas very clearly stated, a cautious view of risk going forward. And so loading up both inflationary impacts as well as in some cases where we had some model changes that made this look like an adjustment. So I think at the end, we didn't give away that much margin, but we -- again, we think this is all value-creating business that we're writing in these renewals. And I apologize, the second question -- learning of the reviews. In the context of what for us is a massive -- absolutely massive migration from U.S. GAAP to IFRS. We looked hard at our large portfolio starting in 2022, made some adjustments in the assumptions there also in 2023. We probably didn't look as hard as we might have partly because everybody was very busy getting the preparation right for the standard in some of the smaller portfolios. And we've had a history of writing this business under U.S. GAAP, where assumptions got locked in. And while we made those assumption adjustments in our EVM world, we probably didn't focus on what was developing in the in-force book, maybe as much as we might have. And so I think this is also -- the lessons learned is a more vigorous culture of identifying deviations from expectations and moving on them aggressively to be sure that the assumptions going forward match the reality that we're seeing on the ground and feeding that back in with the smart circle, which has served us so well in the P&C world, and of course so in particular, to get the underwriting of new business adjusted as well. So some of these smaller country portfolios, we've actually taken the adjustments on the assumptions for the in-force, but we've taken, in some cases, even more radical adjustments to the business we're writing as we speak.
Andreas Berger: Maybe, I could add on the first one. We are operating in a very healthy rate environment with healthy margins. So any slight reduction is something that we call still in the equilibrium. So we're quite happy with this. And on the second one, I mean, you just said it. If you take a step back and look at the overall company and this philosophy change in the reserving practice in general, I think that you will see now also coming through in Life and Health and more systematically, we started in CorSo, P&C Re and then we added the uncertainty note for all P&C businesses and the A versus E philosophy with the Smart Circle, as you said, John, that's something that we now more rigorously apply also on the -- Life and Health reinsurance side. So it's a journey, it's a process. But I think it brings all business units on par now in the prudency approach in the reserving practice.
Thomas Bohun: Thank you, Iain. Could we have the next question please?
Operator: The next question comes from Vinit Malhotra from Mediobanca. Please go ahead.
Vinit Malhotra: Yes. Good afternoon. Thank you. So for me, the question would really be a follow-up on the target really. So on the Life side, the CSM is about $1 billion, lower than the $18.5 billion guided to at the management dialogue. So I'm just curious, I mean, it seems like a bit more than what the reviews led to. And I'm just curious that should we be expecting a bit more amortization rate? Or how do you think we should still have the same net income number? And then again, on the non-life side. John, you mentioned the pricing potential benefits that I think I listed you to say that you're assuming what happened with -- so you're more -- you're happy about the target. But the combined ratio is still in the same ballpark. Is there something you could clarify a bit more on the pricing assumptions you might assume or in the combined ratio target? That's my two questions. Thank you.
John Dacey: Let me try. So I think in the December Investor Day that we indicated that we're going to make some adjustments on the assumption, which might have an impact of about 5% of the CSM, the reality is what we -- the adjustment we made was 6%. So a very modest difference, but it's not going to change the overall impact for full year earnings out of Life and Health. So I think the 1.6 billion people at the time and just I remember thought that, that might not be particularly ambitious. Our view is it's ambitious in the sense of we wanted to be sure that it's a very good number that rolls up into the 4.4% for the group, but it is also going to be achieved with the other commitments that we've got for our targets. I also remember at the December meeting, there were a couple of people, the question whether the combined ratio for P&C was ambitious enough given what was -- seemed to be a very strong underlying performance. And there, again, I think with what we expect for the full year, there's no reason for us to believe that we're thrown off course with one big loss here in the first quarter. Now, we have multiple $40 billion events in the year. We'll have to think through this comprehensively going to be a challenge that we have to address. But at least for now, there's no reason, I think, to take us off a strong level of confidence that we'll be able to achieve what this is. We put those targets out, realizing that we are in a business which has some volatility and our minor frustration or in some cases, more than minor frustration of not hitting the 3.6% even for reasons which we thought were the right reasons in building resilience in the P&C space, we don't want to repeat. And I can say that as a member of management today, I'll say that in June is a very interested shareholder.
Andreas Berger: John, I think there was one question that we didn't cover. The split between CorSo and reinsurance on the wildfires?
John Dacey: Sorry.
Andreas Berger: I mean it's just very simple. I mean it's not an event for commercial insurance. It's mainly health homeowners. So that's why CorSo has a very low number on wildfires.
Vinit Malhotra: Thank you.
Thomas Bohun: Thank you, Vinit. Could we have the next question please?
Operator: The next question comes from Michael Huttner from Berenberg. Please go ahead.
Michael Huttner: Thank you very much. I had two. The first one is on investment income and the other one is on the marathon, not a sprint. The investment income, I was trying to compare the slides and it's -- but the feeling I get is the reinvestment yield is better. You highlighted the better investment income, the $500 million figure. The feeling I have is that whatever the shift in portfolio or whatever, is that there's actually more money coming through than you might have thought back in December. So -- maybe you can help on this. I don't know, I probably got it wrong. And then you mentioned marathon, not a sprint. Now I'm kind of nearing the end of my math, but I'm interested in what that means. Is it you're building your plan for the next like 10 years or five years or -- the reason I ask is it is relevant to the way I build models, we think, well, if I were a management when do I want to peak? So that's the reason I ask. And of course, the underlying number is always if you were to add back at US$2.4 billion charge or whatever, you'd literally get a very nice number indeed for the group as well. And I know last year was a bit lower in the cat, but it would still be incredibly attractive and hopefully, basically, I want to know when you hit it, that's it.
John Dacey: So on the first question, Michael, we continue to be largely a fixed income house, the assets. I think we have the chart that shows distinction -- government bonds have high investment yield component in the corporate bond portfolio and then a little bit of real estate loans and a little bit of equity dominated by private equity. I think there were some few maturities of some higher-yielding paper in the fourth quarter that was replaced by some nicely yielding positions. The team has also in the first quarter of this year, attempted to manage through what has been a certain level of volatility in the longer end of the U.S. dollar curve. But our level of comfort is that this 4% return on the portfolio is effectively a floor as we go forward. The current yield curve has got a pretty unusual structure of being flat between one month and 20 years. I think there's maybe 30 or 40 basis points difference in that whole period. And so we continue to match the duration of our liabilities, useful for keeping the capital charge under control there. But I think what we did in the fourth quarter or even episodically here in the first quarter is not going to move the needle dramatically, but we keep reinvesting at healthy yields, and that will continue to help the earnings of the group. And just for the absence of doubt, $4.4 billion is $1.2 billion better than the $3.2 million we delivered in 2024. So it's not that we'll be unambitious on either side of the balance sheet.
Andreas Berger: And to your second question, it's a marathon, not a sprint. I mean the way I look at it, we started last year, and we addressed the drag the short-term fixes that we could make. That was admittedly a sprint, yes. But we're not there yet, yes. So we changed some philosophies. We looked at the structures in the company, we got leaner, quicker, and this obviously will translate also in the cost savings as I indicated. But we're not there yet. So we will make sure that the earnings power is visible. And you can see already with the actions that we took that we feel comfortable and confident enough to suggest to propose a dividend increase and that's because of the earning power that the company has, but also a very good capital position. Going forward, we're going to see in the next strategic phase, and we'll talk about this in December next year -- or this year, sorry, '25, where do we go strategically with the various business units? What are the areas we're going to look into in order to think about investments? And what else do we need to do? But clearly, our objective at the moment is to improve profitability, increase resilience and resilience means no surprises, consistent delivery on what we said we would do, and I'm happy and very satisfied with the interim report out now, and let's continue on that journey.
Thomas Bohun: Thank you, Michael. Could we have the next question please?
Operator: The next question comes from Shanti Kang from Bank of America. Please go ahead.
Shanti Kang: Hi. Thank you for taking my questions and congratulations on your results today. So I guess my first question is just on CorSo. I'm just curious to know what you think the sort of normalized run rate is for CorSo going forward. The 89.7% combined ratio is obviously very strong. Do you think that's sustainable? And how should we think about that against the 2025 target? And then my second question is just on the overall casualty book. And given that you've made some pruning and adjustments on the reserving side, where do you see that kind of troughing out? And is there a level that you wouldn't wish to go below for casualty risk exposure? That's all.
John Dacey: So maybe I'll try since Andreas is no longer the CEO of CorSo, but the CEO of the group. 89.7%, it was a good combined ratio. We had a fairly light load for man-made losses in the year, and that helped some. And net-net, I think the overall performance has been strong. We've got the target out there, better than 91%. 89.7% would be better than 91%. I don't want to change the target at this point of time. But I think we start the year feeling pretty confident that we should be able to achieve this. The other thing I'd refer, this is a business which has found the ability to continue to grow in the corporate space, not extending into those lines of business, which we exited in 2019 when Andreas very successfully did this major revamp of the company at Corporate Solutions. But in the lines where we choose to operate, there is opportunity for organic growth that the team has been pursuing and we'll continue to pursue it. And so $800 million plus in 2024 is a very rock solid number. I don't think it's the end of what the earnings of CorSo could be for the Swiss Re Group. On casualty, again, I want to distinguish between the terrible experience we and everyone else in the market has had on U.S. liability, to a lesser degree, some other parts of U.S. casualty book, commercial motor comes to mind very quickly. And what is profitable casualty business in other parts of the world and some subsegments inside of the U.S., which have been profitable. As an example, one place where we've not participated in a big way, but other people have, and it just serve them well is in the U.S. workers' comp business, which for the last five years, has returned, I think, positive surprises on actual loss development. And so it's not that we're abandoning casualty space. Obviously, we're writing quite a bit of business there. I think we are seeing not necessarily a reaction to our massive actions in the third quarter, but coherent with those actions is a tougher line in both the primary market as well as in the reinsurance market of what price is required for the U.S. exposures. And as we can continue to reinforce what we think is adequate pricing, we'll find opportunities to write business. We will never go back to an overweight market share in the U.S. liability anywhere near what we had before. We might go closer to market weight at some point in time when the market clearly is behaving better. When we talked about this in -- after the reserving actions, we reiterated, we don't see an end in sight to the social inflation that's being driven by the plaintiffs bar in the United States. And as a result of that, we remain deeply suspicious about business, which puts us in the crosshairs of that line. Andreas, you probably have more thoughts.
Andreas Berger: Yes. I think -- I mean, basically confirming what you're saying, just singling out also FinPro because FinPro also is lumped into the casualty line item. And that's another line of business or a group of line of businesses where we're very careful. There are sublines of business in FinPro where there's definitely no rate adequacy at the moment. And when you look into casualty, you look at the territorial scope, but also the sublines of businesses and try to balance the portfolio. On the large corporate risks, we have reduced the exposures in our portfolio by 86%. I think that's a strong decline in exposure, and it will continue. So let's look into specific sub lines, and this is actually also valid for Corporate Solutions. So there Corporate Solutions and Life & Health, P&C reinsurance are pretty much similar in understanding of the exposure.
Thomas Bohun: Thank you, Shanti. Could we have the next question please?
Operator: The next question comes from Faizan Lakhani from HSBC. Please go ahead.
Faizan Lakhani: Hi there. Thank you for taking my questions and reiterating what everyone said, John congratulations on a great career. I had a conversation earlier with your IR team about the combined ratio and the difference between the Q4 underlying versus the full year. There seems to be quite a big deviation, and I understand there are some true-ups and one-offs in Q4, but maybe you could just provide some greater clarity on how to think about the quarterly versus full year. And in part, if you've allowed for the $400 million, $500 million new business prudence, at the full year? My second question is on the Life & Health Re new business formation. It seems to be a little bit light in Q4 versus the first nine months. I understand it can be quite lumpy. I just want to understand if there's anything in there to think about and what the outlook is for 2025 on the new business?
John Dacey: So maybe the second question first. There's nothing specific, I think, in the fourth quarter. This will be a little bit lumpy. We do have an important pipeline of potential transactions from the Life and Health team that I would expect would develop during the course of 2025. We can predict in which quarter which of these transactions might come on board. But the team is both active, but also disciplined and the pricing that's required to be able to bring these deals to fruition. So I think our expectation is that this Life and Health business will continue to be able to not only replace, but grow to some degree, the CSM over any reasonable period of time, you just may not see this quarter by quarter. On the fourth quarter, P&C, yes, there was probably a little more noise in this than we might have liked. I think we talked -- or you might have heard from the IR team that there is about $100 million true-ups, which was just a reclass between claims and premiums that had a direct impact on the CSM. The new business loss component, which was correctly booked on an accounting basis related to the January 1 renewals dampen this as well. I think the best way to think about this is to take the full year and effectively divide by 4, the Q4 should not be viewed as the trend, but rather a quarter where the directions will still be correct big picture the amounts are muted, and we should expect that during the full year of 2025 will be closer to full year 2024 rather than 4x Q4.
Andreas Berger: And just to confirm, the $100 million was purely a reclassification. So it had no net impact. It was from CSM, a negative and then a positive in variance. So there was no net impact. But as you normalize, you will see that impact in people.
Thomas Bohun: Thank you, Faizan. Could we have the next question please?
Operator: The next question comes from Darius Satkauskas from KBW. Please go ahead.
Darius Satkauskas: Hi there. Thank you for taking my questions. John, thank you for the help over the years. So just to come back to the Life & Health CSM reduction. So your assumptions may now be more conservative, but you also have $900 million or so less Life and Health CSM than you expected to have at the Capital Markets Day, which essentially allows absorption of further assumption changes before it hits the P&L. So how comfortable are you with the Life & Health assumptions now or should we think that the earnings are a bit more vulnerable to any further assumption review that you may do? And the second question, could you tell us what amount of the CSM stock reduction of that $900 million related to the U.S. mortality? And what was the number in the experience variance in the P&L? Thank you.
John Dacey: Happy to answer the first one. We remain comfortable with the outlook. I mean, yes, you're right, the numbers did adjust downward. I'm not sure they were that much down compared to where we -- at least the range that we were considering and maybe we could have been a little more outspoken when we talked about this impact in December, so apologies if we weren't. But whatever that range that we have in mind fit the bill for where we actually landed and as a result, we stand strongly behind the $1.6 billion for Life and Health's net income for 2025, which is a component, but obviously only a part of the $4.4 billion for the full year. With respect to the second question, we're probably not going to -- I mean, qualitatively, I think we've tried to give as clear message as we can about the components, the details of -- or precise numbers, I think we would unlikely share. There's just no upside for everybody to micromanage some of these positions, not that you would micromanage them, sorry. It's just we're very comfortable that we've done what's necessary to get us in good shape for the future.
Thomas Bohun: Thank you, Darius. Could we have the next question please?
Operator: Next question is a follow-up from Ivan Bokhmat from Barclays. Please go ahead.
Ivan Bokhmat: Hi. Thank you very much. Two small ones for me. John, I think on the media call, you mentioned the unusual accumulation of losses in aviation. So I was just wondering if you could maybe talk about how material this could be for Swiss Re? And maybe on a related topic here, could you remind us of the reserves that you still carry around the Russia-Ukraine conflict because I assume a lot of it also relates to aviation. And then there's a second question, actually a bit more technical. We've now had four quarters of net insurance revenues in P&C Re business and Q4 looks weakest of the years. If we think about seasonality for '25 and onwards, is this the right kind of ratio of how premiums get booked through the quarters of the year?
John Dacey: Let me work through the first two and I'm not sure I've got a great answer for the what I'll call your third question, but let's see if we get there. On Aviation, the set of recent accidents, the tragic one in Washington, you see the remarkable absence of death in Toronto and again, the tragic loss in Korea. I'd say the Korean exposure is clear to us, it was a fourth quarter event where we've got some additional information that might require a modest adjustment in the first quarter coming from those losses, but not significant is the way I'd clearly indicate that today. The Toronto crash, just again, a remarkable event where everybody was able to get out of the plane in spite of the fire that was started on landing when the wing broke off. And I mentioned on the media call, you're exactly right. I still am amazed with all these passengers upside down were guided out by the flight attendants and the pilots to safety. So -- that I don't think is going to be a reinsurance event at all. There'll be a whole loss, obviously, but the primary market is likely to pick that up. And then unfortunately, in the Washington Crash reinsurers will be responsible for some of this. Speaking to our experts today, I think the current expectations is this will remain a two digit million loss for Swiss Re. We'll know more when we finalize the quarter. But our exposures through the reinsurance side into some of the primary carriers on that risk. With respect to Russia, we told you at the beginning -- or in 2022, when we set up the reserves on the Ukraine war that the majority were the largest single reserving category was aviation. That continued to be the case. We made some modest adjustments over the last 2.5 years. But we believe that we are well reserved for all the information that might have come as indicative of where settlements might land for the leasing companies, in particular related aircraft that have been stranded in Russia. On the premiums, there's, I guess, some seasonality due to expected nat cat losses, which means that the third quarter would probably be highest. The IR team might be able to give you a little more guidance on this, but we've taken out what has been a very mechanical distribution previously under U.S. GAAP. And so I don't know that I can give you much more guidance than that.
Thomas Bohun: Thank you, Ivan. With that, we're just a few minutes over time. We'd like to thank you for the questions. Thank you for your interest. Should you have any remaining questions, please do not hesitate to reach out to any member of the IR team. And with that, thanks again. Goodbye.
Operator: Thank you for your participation. You may now disconnect. Goodbye.